Operator: Good morning, ladies and gentlemen, and welcome to Monro Muffler Brakes Earnings Conference Call for the Second Quarter of Fiscal 2015. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. (Operator Instructions) As a reminder, ladies and gentlemen, this conference is being recorded and may not be reproduced in whole or in part without permission from the company. I would now like to introduce Ms. Effie Veres of FTI Consulting. Please go ahead.
Effie Veres: Thank you. Hello, everyone, and thank you for joining us on this morning’s call. I would just like to remind you on this morning’s call management may reiterate forward-looking statements made in today’s release. In accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, I would like to call your attention to the risks and uncertainties related to these statements, which are more fully described in the press release and the company’s filings with the Securities and Exchange Commission. These risks and uncertainties include, but are not necessarily limited to, uncertainties affecting retail generally such as consumer confidence and demand for auto repair, risks relating to leverage and debt service, including sensitivity to fluctuations in interest rates, dependence on and competition within the primary markets in which the company’s stores are located and the need for and costs associated with store renovations and other capital expenditures. The company undertakes no obligation to release publicly, any revisions to these forward-looking statements that may be made to reflect events or circumstances after the date hereof or to reflect the occurrence to unanticipated events. The inclusion of any statement in this call does not constitute an admission by Monro or any other person that the events or circumstances described in such statements are material. Joining us for this morning’s call from management are John Van Heel, President and Chief Executive Officer; Cathy D’Amico, Chief Financial Officer; and Rob Gross, Executive Chairman. With these formalities out of the way, I’d like to turn the call over to John van Hell. John, you may begin.
John Van Heel: Thanks, Effie. Good morning and thank you for joining us on today’s call. We are pleased that you are with us to discuss our second quarter fiscal 2015 performance. I’ll start today with a review of our results for the quarter and an update on our key initiatives and then we’ll provide our outlook for the remainder of the fiscal year. I’ll then turn the call over to Cathy D’Amico, our Chief Financial Officer, who will provide additional details on our financial results. Similar to our strong performance in the first quarter, our unique business model enabled us to deliver record sales and net income for the second quarter with sales growth of 8% and net income growth of 20% versus the prior year. While we are disappointed in our comparable store sales results, which we believe reflect a continued difficult macro environment, outperformance of our acquisition, improvement in margins and cost control helped us to achieve earnings results within our expected range. Our strong business model and execution allowed us to continue to deliver on our key objectives, including driving lower material costs, effectively managing operating expenses, generating strong sales and earnings contributions from our recent acquisitions and capitalizing on opportunities to complete additional acquisitions at attractive prices. Our focus in strong execution enables us to lead our industry in both strong and weak markets. Second quarter comparable store sales were down 2% driven by a weak consumer sales environment. We continue to see an extended growth cycle, particularly as it relates to higher ticket purchases with consumers allocating spending to their most pressing needs. Coming off a very strong first quarter in our service business, we saw a second quarter increase in comparable store sales of approximately 5% for alignments and 4% for brakes, which are key profitable categories. More discretionary categories such as front end and shots and exhaust were flat and declined 6% respective. We believe that despite the difficult spending environment, customers continue to turn to us for repairs that can no longer be delayed as well as to perform maintenance in order to extend the life of their aging vehicles as evidenced by our positive comparables toward oil change units in the quarter. As we previously discussed, the challenging macro environment continues to weigh on consumer purchasing behavior particularly with respect to large ticket items which is evidenced by a 4% decline in our comparable store tire sales. The decline was primarily due to consumers continuing to trade down from higher priced tires, further pressured by declines we experienced in comparable store tire units of 1.5%. The decline in tire units this quarter was the first decline in the last four quarters. We believe there may be additional upside to tire volumes in the second half of the fiscal year as last year’s harsh winter may lead more consumers to replace worn tires ahead of this year’s winter weather. We continue to meet consumer’s needs through our expanded tire assortment which providers additional value oriented options including the lower priced but more profitable direct import tires. This quarter, direct import tires represented over 40% of our mix of tire units sold, consistent with the sales mix in the first quarter but significantly higher than the 31% in fiscal 2014 and mid-20s in fiscal 2013. As a result of the investments we continue to make in our direct sourcing and to expand our tire selection, we will be in an even better position to offer consumers value oriented options in the event of a tariff on import tires. Given that we anticipate the tariff will be implemented, we are taking steps to further expand our competitive advantages which I will discuss further in a moment. Consistent with the last several quarters, the mix shift to lower price direct import tires in the second quarter accounted for the entire variance between our comparable store tires sales and our comparable store tire units. In fact, the impact of the shift in tire sales mix for lower price direct imports has reduced overall comparable stores sales by approximately 1.5% in the first half of the fiscal year. Due to our recent tire price increases, the combined price and mix impact on comparable store tire sales was reduced to less than three percentage points in the second quarter this year from four percentage points in the first quarter with a corresponding benefit to gross profit and margins. Importantly, we anticipate that price mix on tires will turn positive in the fourth quarter. We expect that our pricing actions will have a positive impact on tire sales as we look through the end of the year. Assuming flat tire units, a tire sales mix and average prices consistent with what we collected in September of this year, we believe that in the fourth quarter of this year we will see a comparable store tire sales increase of approximately 2% driven by improved pricing. To be clear, this does not include what we believe will be a positive impact on tire retail pricing from the implementation of the tariff. As a reminder, when the tariff was implemented in late 2009 to 2012, Monro tire sales increased by 5% in the first two years, much of the increase driven by pricing. Moving on to gross margin, during the second quarter we reported a gross margin increase of 60 basis points to 40.4% of sales. Our ability to expand our gross margin is largely due to pricing actions and reduced material for us, slightly offset by higher distribution and occupancy costs. As a reminder, in September we began to (lap) the significant benefits of the lower product cross we experienced in fiscal 2014 which makes for more difficult comparisons for the back half of this fiscal year. Moving on to operating expense, we are carefully managing our operating costs while appropriately investing for growth. For the second quarter, total operating expenses as a percentage of sales decreased to 27.4% from 28.2% of sales or 80 basis points versus the prior year, reflecting our cost control efforts and leverage from higher sales. We are pleased to have achieved another quarter of significant operating income growth with second quarter operating profit up 21% and operating margin expansion of 140 basis points to 13.1% of sales. Turning now to our growth strategy, we remain focused on increasing our market share through same-store sales growth, opening new stores in existing markets and acquiring competitors at attractive valuations. In this challenging macro environment, we believe there are even more opportunities to complete acquisitions at attractive valuations. To that end, we are pleased to announce that in fiscal October we completed the acquisition of nine stores in the Atlanta, Georgia area adding a new state to Monro’s footprint and further filling in our presence in key contiguous states. Additionally, in August, we completed the previously announced acquisition of the 35 tire choice locations in Florida. Our expansion into these large growing southern markets will balance our exposure to northern, northeastern and central markets providing many years of profitable expansion. We are confident that acquisitions in fiscal 2015 will exceed our 10% annualized sales growth target as outlined in our five-year plan. In fact, the acquisitions we have completed to date in fiscal 2015 already represent 9% annualized sales growth this fiscal year and continue to outperform plan. We do, however, expect slight dilution in the third and fourth quarters from these acquisitions. Also, I’m pleased to report that we recently signed a letter of intent to purchase an additional nine-store chain in an existing market with approximately $10 million in annual sales. We expect this transaction to close later this quarter. Acquisitions increase Monro’s total sales and store count and raise our purchasing power with venders. They also allow us to further leverage distribution, advertising, field management and corporate overhead costs, all of which will help drive future operating margin expansion. Our primary focus remains increasing store density and our geographic footprint while opportunistically entering new, contiguous markets as we have with our fiscal 2015 deals. With ongoing softness in consumer spending, higher healthcare costs and the higher likelihood of the tariff on import tires, we continue to see meaningful opportunities for attractive deals in the marketplace. The owners of target independent tire dealers are generally individuals who are at or nearing the retirement age without an internal succession option. We present have 10 NDAs signed, excluding the transaction we closed in October, and still in line with the high number of NDAs that we had signed at the end of last quarter. Based on our recent transactions and our existing NDAs, we remain very optimistic about our opportunities for additional deals in the near future and we expect fiscal 2015 to be a significant year for acquisitions. A difficult operating environment will allow us to complete even more deals and further accelerate our top line growth. This represents our key hedge in our business model. I also want to note that we have now decided to exit the 29 remaining Monro Muffler Brake and Service stores located in BJs locations. We had 37. We opened our first Monro in BJs in 1999 to fill in selected markets, however, as we do not sell the tires in these locations, our opportunities are limited and with our continued growth, these locations are not strategic for Monro. Due to our high store density in key markets, a significant portion of these sales will transfer to other Monro locations where we will be able to leverage existing fixed costs. The overall earnings impact of exiting these locations will cost us $0.02 this year and is incorporated in our fiscal 2015 guidance. We expect beyond the earnings impact to be minimal from exiting these locations. Now to the details of our outlook, we anticipate the sales softness that we experienced through the second quarter will continue into the third quarter as comparable store sales remained negative in October with a decline of approximately 1.5% month to date. Based on these trends, we expect third quarter comparable store sales to be in the range of a decline of 2% to flat and total sales to be in the range of $232 million to $238 million. We anticipate third quarter diluted earnings per share to be in the range of $0.47 to $0.52 versus $0.47 last year. Our third quarter guidance also assume incremental warehouse and logistics costs related to our elevator tire purchases in advance of a potential tariff and slight dilution from the completed fiscal year 2015 acquisitions. As a reminder, last year’s third quarter earnings represented difficult comparison given the end of third quarter fiscal 2014 Monro achieved earnings growth of 34% versus the prior year and demonstrated some favorable lease purchase accounting and tax adjustments of approximately $0.03 per share. However, the majority of last year’s earnings growth was driven by significant cost reduction down players which we are now fully lacking. Turning to our outlook for the full year, taking into account adjusted (accretive) sales contribution from our fiscal 2014 and 2015 completed acquisitions and the recent softness in our comparable store sales, we now expect total sales to be in the range of $900 million to $910 million, narrowing the range of our previous guidance of $900 million to $920 million. This range assumes comparable store sales will be approximately flat with (buys) down from our previous guidance of positive 1% to 3%. Based on these sales assumptions, we are lowering our fiscal year 2015 EPS to the range of $1.85 to $1.95, an increase of 11% to 17% year over year, versus $1.67 diluted earnings per share in fiscal 2014. This reflects $0.02 to $0.03 of additional warehouse and logistics costs related to recent elevated tire purchases in advance of a potential tariff, costs to exit BJ stores, costs related to Obamacare in the fourth quarter and $0.02 of lower vender rebate income in the fourth quarter due to slow returns on tire inventory. This vender rebate income will be recognized in the first half of fiscal 2016 instead of the fourth quarter of fiscal 2015. We believe there is potential upside to our comparable (for sale) trends in the second half of the year as more consumers look to address their tire and service needs following last year’s harsh winter, which may be further helped by recent lower gas prices. Also, as I described earlier, our comparable store tire sales are expected to be positively impacted by pricing in our fourth quarter after several quarters of significant pressure from trade down. It is worth noting that excluding the fiscal 2015 acquisitions, which are slightly diluted, our fiscal 2015 earnings guidance on flat, comparable store sales represents an operating margin increase of 100 to 150 basis points on top of the 140 basis point improvement in fiscal 2014. Even though (we can suit) the customers’ needs, our business model is working. Now, I’d like to provide you with additional color regarding our thoughts around a potential tariff on Chinese import tires. Although I fail to see the need for it, I believe that a tariff is more likely to be implemented than not. In the even that a tariff is enacted, the tire selling environment will become more favorable to our current operating model, tire sales mix and pricing. With our company size and increasing scale, we will drive lower costs than our smaller competitors, allowing us to accelerate market share gains while continuing to offer customers great value. As retail prices increase, I expect that this value tire category will become even more important to consumers. It is important to note that there are several significant differences between this potential tariff and the one implemented from October 2009 to September 2012. During that period there were significant commodity-based increases in tire costs which are not currently a factor. Second, in 2009, we sourced these economy tires from only one tire vender whereas now we purchase from three venders, allowing us to negotiate more favorable costs. We believe these factors will limit the cost pressure for Monro. More specifically, if a 35% tariff is passed as it was initially in 2009 to 2012, and based on current plans and ongoing vender negotiations, we estimate that our import tire cost of goods sold, including any related warehousing and logistics expenses, we’ll increase in the range of 5% to 10% during fiscal year 2015. Also, the majority of any tariffs impact on our cost of goods sold will not occur until the second half of fiscal 2016. This is a distinct advantage compared to smaller dealers as they lack the scale to buy from multiple venders and negotiate favorable pricing and financing to build significant stock. We anticipate tire (cuts) for smaller dealers will increase several times the impact on Monro if a 35% tariff is implemented. We believe the financial strain felt by smaller dealers will increase our competitive advantage and lead to additional acquisition opportunities at even more attractive valuations allowing us to further drive earnings growth. Looking at this longer term and consistent with how we have established our business model, anything that pressures the industry as a whole should increase our competitive advantage. Even in light of these new market dynamics, our long-term plans remain unchanged and continue to call for, on average, 15% annual top line growth, including 10% growth through acquisitions, 3% to 4% comps and 1% to 2% increase from Greenfield stores. Our acquisitions are generally diluted to earnings for the first six months s we overcome due diligence and (due) related costs while working through initial inventory in the operational transition of these stores. With cost savings and recovery in sales, results are generally break even to slightly accretive year one and $0.09 to $0.12 accretive year two and three. Over the five-year period, that should improve operating margins by approximately 300 basis points and deliver an average of 20% bottom line growth. Our disciplined acquisition strategy is further strengthening our position in the marketplace and will continue to provide meaningful value to shareholders for many years to come. Before I turn the call over to Cathy, I’d like to say that I’m proud of the performance of our teams during our first six months. We continued to service more customers offering them exceptional service, drive higher gross margins overall and gross profit per tire, control operating costs, do an excellent job at integrating acquisitions and finding and acting on new acquisition opportunities at attractive prices. The hard work, passion for superior customer service and consistent execution that our employees deliver every day are reflected in our sales and earnings results and are critical to Monro’s brand strength and success. We greatly appreciate their efforts. With that, I’d like to turn the call over to Cathy for a more detailed review of our financial results. Cathy?
Catherine D’Amico: Thank you, John, and good morning, everybody. Sales for the quarter increased 7.8% and $16 million. New stores, which we (decide as) stores opened or acquired after March 31, 2013 added $18.9 million including sales of $16.5 million from our fiscal 2014 and 2015 acquired stores. Comparable store sales decreased 2% and there was a decrease in sales from closed stores of approximately $1.8 million. Additionally, during the quarter-ended September 2014, the company completed the bulk sale of approximately $2.9 million of slower moving inventory to a (barter) company. There were 91 selling days in both the current and prior year second quarters. Year-to-date sales increased $27.3 million and 6.6%. New stores contributed $30.1 million of the increase. Partially offsetting the sales increase was a comparable store sales decline of six-tenths percent and a decrease in sales from closed stores amounting to $3.3 million. There were 181 selling days for the first six months of this and the last fiscal year. At September 27, 2014, the company had 1003 company operated stores as compared with 940 at September 28, 2013. During the quarter-ended September 2014, the company added 42 stores and closed five. Year-to-date, we added 61 stores and closed 11. Gross profit for the quarter-ended September 2014 was $89.5 million or 40.4% sales as compared with $81.7 million or 39.8% of sales for the quarter-ended September 2013. The increase in gross profit for the quarter-ended September 27, 2014 as a percentage of sales is primarily due to a decrease in material costs. Total material costs including outside purchases decreased as a percentage of sales as compared to the prior year. This is largely due to a shift in the mix of tires sold to lower cost direct import tires which carry a higher margin. Partially offsetting this decrease was an increase in distribution and occupancy costs, as a percentage of sales from the prior year, related primarily to increased warehousing and distribution costs. These resulted from increased frequency of delivery to our service stores and some additional warehousing for higher inventory level. Additionally, excluding the new stores opened in fiscal 2014 and fiscal 2015, gross profit actually improved by a 130 basis points as compared to the second quarter of last year. Gross profit for the six months ended September 2014 was a $179.5 million or 40.9% of sales as compared with a $160.6 million or 39% of sales for the six months ended September 2013. The year-to-date increase in gross profit as a percentage of sales is due to decreased material costs, as I previously described for the quarter. Move on to operating expenses, for the quarter ended September 2014 they increased $2.7 million and were $60.5 million or 27.4% of sales, as compared with $57.8 million or 28.2% of sales for the quarter ended September 2013. Excluding the increase in operating expenses related to new stores opened in fiscal 2014 and 2015, and the increase in due-diligence costs, operating costs actually decreased by approximately $2 million as compared to the same quarter of last year. It demonstrates that we experienced leverage in this line to focus cost control on lower comparable sales, as well as pay plans that adjust for performance. For the six months ended September 2014, operating expenses increased by $7.6 million to $121.2 million from the comparable period of the prior year and remains flat at 27.6% of sales. The increase in expenditures was due primarily to $7.3 million of operating expenses related new stores opened in fiscal 2014 and 2015, as well as an increase due diligence cost compared to the first six months of last year. Operating income for the quarter ended September 2014 of $28.9 million, increased by 21% as compared to operating income of approximately $23.9 million for the quarter-ended September 2013, an increase as a percent of sales from the 11.6% to 13.1%. Operating income for the six months ended September 2014 of approximately $58.3 million increased by 24.1% as compared to operating income of approximately $47 million for the six months ended 2013. It also increased as a percentage of sales from 11.4% to 13.3%. Net interest expense for the quarter ended September 2014 at 1.3% of sales increased 0.3% as compared to the same period last year. Weighted average debt outstanding for the second quarter of fiscal 2015 increased by approximately $39 million, as compared to the second quarter of last year. This increase is primarily related to an increase in debt outstanding under our revolving credit facility for the purchase of our fiscal 2014 and 2015 acquisition, as well as an increase in capital lease debt recorded in connection with these acquisitions. The weighted average interest rate increased by approximately 50 basis points from the prior year due primarily to purchase accounting adjustments for recent acquisitions in both the current and prior year second quarters, which artificially impacted interest expense for the comparative quarters. Without these adjustments the weighted average interest rate was relatively flat between the second quarters of both years. For the six months ended September 2014, interest expense increased by $1.1 million and increased 0.2 as a percentage of sales as compared to the prior year. Weighted average debt increased by approximately $6 million and the weighted average interest rate increased by 90 basis points. Without the previously mentioned purchase accounting adjustments the weighted average interest rate increased by approximately 30 basis points as compared to the first six months of last year. The effective tax rate was 38.1% pre-tax income for both the quarters ended September 2014 and September 2013. Net income for the current quarter of $16.3 million, increased 19.6% over net income for the quarter ended September 2013. Earnings per share on a diluted basis is $0.50, increased 19% as compared to last year’s $0.42. For the six months ended September 2014, net income of $33.3 million increased 22.2% and diluted earnings per share increased 20.2% from $0.84 to a $1.01. Moving on to the balance sheet, it remains strong. Our current ratio at 1.3 to 1 is comparable to last year’s second quarter and the year-end fiscal 2014. In the first six months of this year, we generated approximately $55 million of cash flow from operating activities, and increased borrowings under our revolver by approximately $41 million. We use these borrowing and cash flow from operating activities to finance our 2015 acquisitions which added 61 stores to-date. At the end of the second quarter, debt consisted of $152 million of outstanding revolver debt and $137 million of capital lease and financing obligations. As the results of the debt borrowings our debt to capital ratio including capital leases increased to 39% at September 2014 from 32% at March 2014. Without the capital and financing leases our debt to capital ratio was 25% at the end of September 2014 as compared to 20% at the end of March. Under our revolving credit facility we have $250 million that is committed through December 2017. Additionally, we have a $75 million accordion feature included in the revolving credit agreement. Our interest rate during the second quarter was lower 25 basis points to LIBOR plus 100 basis points. The flexibility built into this agreement permits us to operate our business without bank approval as long as we are compliant with debt covenant. Those terms as well as our current availability of approximately $67 million, which does not include the accordion, gives a lot of ability to get acquisitions on quickly. We are fully compliant with all of our debt covenants and have plenty of room under the financial covenants to add additional debt for acquisitions without any problem. During the first six months of this year, we spent approximately $19 million on CapEx including approximately $10 million in the second quarter. Store acquisition gives another $64 million of cash. Depreciation and Amortization totaled approximately $17 million divided roughly between Q1 and Q2, and we received $2 million from the exercise of stock option. We pay about $8 million in dividends. Inventory is up approximately $18 million from March 2014, largely due to acquired stores, the purchase of import tires to get ahead of the tariff, and the purchase of winter tires in anticipation of the demand in the third quarter. Total inventory turns for the rolling 12 months ended September 2014 were down slightly from last year. That concludes my formal remarks on the financial statements and with that I will now turn the call back over to John for some additional remarks.
John Van Heel: Remember that every $1 increase in gross profit per tire is $0.05 of EPS, and every 1% increase in units equates to about $0.025 in EPS. Second, limited impact of cost increases from the tariff on our import tires in the range of 5% to 10%, expanding our cost advantages over competitors and providing opportunity for increased gross profit per tire. Recognition of vendor rebates in fiscal 2016 that are not being recognized in the fourth quarter of this year, due to our investments in inventory. If recent trends hold, a decline in oil cost of about $1 million in fiscal 2016, sales and earnings contribution from our fiscal 2014 and 2015 acquisitions, and additional acquisition, particularly if the consumer and operating environment remains difficult. With that, I would like to open the call to Q&A. Operator?
Operator: Thank you, sir. (Operator Instructions) We’ll go first to Bret Jordan at BB&T Capital Markets.
Bret Jordan – BB&T Capital Markets: Hey, good morning, guys.
John Van Heel: Good morning.
Bret Jordan – BB&T Capital Markets: Hey, now that you got a pretty big regional footprint, I can start asking the question about regional performance. Could you give us any color as far as areas of particular strength or weakness, from the mid-western markets to northeast and that added to the south?
John Van Heel: Yes, there is nothing that I would call out as that significant of a difference between the different areas. I mean, we’re – where we’re relatively new down in the very south so now maybe in future we’ll have more to comment there.
Bret Jordan – BB&T Capital Markets: Okay. And what’s been the decision as far as distribution to the Florida stores? Are you doing more out-buyers or are you going to try to run weekly truck delivery down to that market?
John Van Heel: Right now, we’re – and this is for parts, we’re being supplied locally down there for on the parts side, that will continue till we probably double or more the size, the number of stores down there. And on tires, of course, we get the majority of our tires delivered direct to the stores. So we’ve enabled those relationships down there.
Bret Jordan – BB&T Capital Markets: Okay. And then as it relates to the BJ’s announcement, are they going to try to keep a service offering there or will they just cut back to mounting and balancing their own tires and give up services that you’re providing?
John Van Heel: Yes, what I understand is they’re going to just run their tire base for tires.
Bret Jordan – BB&T Capital Markets: Okay. And then one last question on Chinese inventory, to talk about building some inventory levels prior to perspective tariff, what levels would you consider taking them up to, I guess, how big an investment in low cost inventory can you make or would you think about making?
John Van Heel: Well, I don’t mind to talk about the details of what we’re doing. For competitive purposes, that’s why I thought it was more helpful to everyone that we will talk about what the overall impact will be looking forward. Certainly, we got coverage for several months right now and that is a piece of it, as is working with our existing new vendors.
Bret Jordan – BB&T Capital Markets: Okay. Great, thank you.
John Van Heel: Thank you.
Operator: We’ll go next to James Albertine at Stiefel.
James Albertine – Stiefel: Great. Good morning and thanks for taking the question. I wanted to ask a very quickly if I could, just a month comp trends during the quarter. My apologies if you’ve said that on the prepared remarks, I was not in the queue for that.
John Van Heel: No, we didn’t, July was down three, August was down two, September was down one.
James Albertine – Stiefel: And you said you’re running on 1.5% October today?
John Van Heel: Yes, that’s correct.
James Albertine – Stiefel: Okay. Great. Thank you. And, so given your cadence of M&A and so it gives you an opportunity to see more directly via the diligence of those deals, how your competitors are performing and/or reacting to the current environment. So I want to get a sense for what you’re seeing from a competitive standpoint, extend that to what you’re seeing on the promotional environment and so on and so forth? And then I have one quick follow-up question after that.
John Van Heel: Sure, the smaller operators and the guys that we’re looking at are having some trouble in this market. It’s shocking, they seem very much of the sales side that we are. Although, they are not making the money that we are. Overall, acquisitions are getting cheaper as a result of that.
James Albertine – Stiefel: Perfect. That’s what I was hoping to get some color on and then lastly just if you could remind us understanding there are various key differences in terms of where Monro is today versus where it was on October 2009, where the market is today versus back then. But as that 35% initial tariff came on, which as I understand it was above and beyond the 4% that always sort of seize to exist if I understand correct.
John Van Heel: Correct. Yeah.
James Albertine – Stiefel: So when that happened how quickly does the market react in your experience to take pricing higher? And so also, I’m just trying to get a sense of the cadence looking ahead into third quarter and fourth quarter, should this tariff which sounds like you’re pretty confident, the tariff be implemented.
John Van Heel: Yes, I guess, you could stay confident, but I also think it’s prudent for us to act like it will, given the landscape. Tire prices when went fairly early, fairly quickly after the tariff came on last time and that is a lot of operators look at, when I have to replace this inventory at a higher cost, I now need to start charging more.
Robert Gross: Yes, Jamie, this is Rob. I think it’s reflected in our numbers, and really the biggest upside I think what John is trying to allude to is competitively the control we have and having a lower cost base and continued lower cost base, if not expanding lower cost base in our competition but really that, it bodes well for next fiscal year, while what you’re asking is incorporated in the guidance this year.
James Albertine – Stiefel: Right. Understood. Thanks again, gentlemen and Cathy, for all your help. And we’ll talk soon. Good luck in the next quarter.
Robert Gross: Thank you.
Catherine D’Amico: Thank you, Jamie.
John Van Heel: Thank you.
Operator: Moving on, we'll go next to Rick Nelson at Stephens.
Richard Nelson – Stephens Inc Investment Bank: Thanks and good morning.
John Van Heel: Good morning.
Richard Nelson – Stephens Inc Investment Bank: If you can provide some color around the acquisition multiple. As I understand, the earnings are becoming more depressed kind of with some of these candidates, but the multiples you're paying, have they been consistent what’s you done in the past?
John Van Heel: Yes, the multiple is consistent. We talked about 7 to 7.5 times EBITDA. The prices are going down because of some of the – because of the pressure on earnings. What I will say in terms of the overall value out of the acquisitions is more recently you'll see at our metrics, we’re getting more real estates in these deals. So longer-term, as you know, owning is – we want to have the right mix of owning versus leasing, but we’re doing better on that front, which I, lowers the long-term cost of the business.
Robert Gross: Yes, I think the other thing Rick, that might show up is, it would be more in where we consistently talked about the 800 basis points to 1,500 basis points on every deal. The fact that the cost advantage of expanding might push that, more towards the higher end as opposed to the 800 number.
Richard Nelson – Stephens Inc Investment Bank: Thanks for that color. Also curious why the tire price increases that you've taken why that isn’t working into the tire comps and, if you can also comment on market share what do you think tire market share is for you guys?
John Van Heel: Sure. The tire price increases is working, into the comp in respect of the delta between the units and the overall comp, that’s come down and we’ll turn positive. Going forward, units were weak in the second quarter, but I don’t believe that that was a significant result of our taking the pricing up. So unit trends have improved from Q2 into the early part of October. I think it's much more of a consumer issue. We've been talking about the consumer for well over a year now. And I do expect that there are some opportunity with winter that the consumer will react better and even better than – even better and earlier than they did last year. So we haven’t looked that into our guidance.
Richard Nelson – Stephens Inc Investment Bank: So conservative from that standpoint. Thanks a lot, and good luck.
John Van Heel: Sure. Thank you.
Operator: (Operator Instructions) And moving next to Anthony Deem at KeyBanc. Please go ahead, sir.
Anthony Deem – KeyBanc Capital Markets, Inc.: Hi, good morning.
John Van Heel: Good morning.
Anthony Deem – KeyBanc Capital Markets, Inc.: Good morning. Few questions here. First, on the second-half EPS outlook, it looks like the guidance effectively was reduced $0.10 to $0.13. I just want to make sure I have the dimensioning right, sounds like $0.02 to $0.03 from the warehousing, $0.02 from the exit at BJ’s business. And so I’m wondering of the remaining $0.06 to $0.08, how much of the same store growth and how much might that vendor rebate being pushed out in a fiscal 2016 be, and then also if I hear if there's additional Obamacare costs?
John Van Heel: Those – we have been in our guidance. We just continue to point it out as an issue for the fourth quarter. The vendor rebates is $0.02 in the last half, particularly in Q4 as I said better reverse next year. So that's an addition of $0.02, the rest of it is basically the impact on sales. We effectively, in sort of projecting forward the run rate sales that we have, reduced the sales guidance by 2% over the last six months. When you look at that, every 1% we talk about is $0.07, that’s effectively $0.07, 2% in the last-half of the year. So the sales, and you can call it the net of sales another margin is the plug there.
Anthony Deem – KeyBanc Capital Markets, Inc.: Okay. And then, so…
John Van Heel: Which is less than $0.07. So, we are continuing to get some margin help.
Anthony Deem – KeyBanc Capital Markets, Inc.: Okay. And then just wondering of the outlook on the second-half same-store performance, can you give me a reason, is it – it sounds like the outlook was lowered somewhat. Is that isolated to maybe service or the outlook for tires, is it simply, because October is starting a little bit weak here, and just wondering if you can provide a little additional color?
John Van Heel: Sure. The outlook is where it's at because of the run rate that we've had. And we – again, we’ve been talking about the consumer over the last year, and I think, it's just a consumer that is allocating their dollars. I would expect that the service business will continue in the brakes and alignment category to run positively. And I think that’s a number that we felt was, at least, a continuation of what we've seen, and we pointed out what we think are the upsides there. We are in an extended deferral cycle. I still believe the next move is the – for the consumer to shorten that, which will help our times. We haven’t seen it yet, and we may see that in November with tire sales, particularly if we get some early weather. So...
Anthony Deem – KeyBanc Capital Markets, Inc.: Great. And then, on the inventory pre-buy ahead of the tariff, just wondering if you could share any preliminary thoughts on what is the earnings opportunity and the timing of any benefit from buying low and selling high. It sounds like it’s going to be 2016 event, despite the – it sounds like a tariff implementation might come in your fiscal 2015. So, now I'm just kind of wondering if you can ballpark how much you expect to benefit in fiscal 2016 versus the $0.02 to $0.03 cost headwind you are incurring this year.
John Van Heel: Yes. I – we’re taking some costs in the second half of this year to put ourselves in a strong position with respect to the tariff. So let’s say in November there’s an announcement in November and in January. There may be some impact – some positive impact on the fourth quarter. We pointed out that we really haven't pulled that into any estimates. What we talked about is a favorable pricing environment in the fourth quarter is based off of where we were at and towards the end of Q2 after we implemented some of those pricing increases. So, the primary impact and upside we’re really remaining in fiscal 2016 and I guess to help you with working with some of those numbers, since there's no announcement yet, I'm not going to guesstimate what a tariff will be. But if when you look at a $1 help on – $1 increase in gross profit per tire, which if we have pretty flat costs and prices go up a dollar, that’s $0.05 EPS. And, I think that’s pretty compelling if we think that we’re going to have a pretty flat cost structure and pricing inflation from the tariff.
Anthony Deem – KeyBanc Capital Markets, Inc.: Just one follow-up question, are you resourcing out of China into other non-tariff countries such as Vietnam. Are you positioning for that with your three suppliers or do you anticipate sourcing out of and importing out of China primarily?
John Van Heel: Yes, I’m not going to go into the details of that. It doesn't do anyone good on this phone for me to talk about the details of what we're doing there.
Anthony Deem – KeyBanc Capital Markets, Inc.: Right.
John Van Heel: That’s why I wanted to give you the guidance of what we expect based on the plans and discussion that we’re having. And that’s 5% to 10% increase in cost of sales on import tires in fiscal 2015.
Anthony Deem – KeyBanc Capital Markets, Inc.: Thank you.
John Van Heel: Thank you.
Anthony Deem – KeyBanc Capital Markets, Inc.: Thank you very much.
Operator: And moving next to Scott Stember at Sidoti & Co.
Scott Stember – Sidoti & Co.: Good morning, guys.
John Van Heel: Good morning.
Scott Stember – Sidoti & Co.: Can you may be talk about the tire deferral process, I know that we've been talking about over the last couple of years of eventually seeing a nice big rebound across the board, and it seems like, every time we have a couple of steps forward, do you have a step back? Could you just maybe talk about, where we think that is, is this going to be a situation where as long as the economy is weak in your markets, you are always going to see some kind of net pressure, and just give us some general thoughts about those headwinds that you would be facing for the next couple of years possibly?
John Van Heel: Sure. Right now the deferral cycle is longer than it’s been in years. So, again, I think that the next step is for the consumer to shorten the deferral cycle. You bring up geography, and I think that’s a fair point, and that’s really one of the benefits of us now making some solid acquisitions in large growing southern markets, which will help us offset our exposure to some of the more northern – northeastern rust belt type markets. But I do think that there will be some pressure as long as the economy is not doing brake. And that ties into the natural hedging our business of our ability to grow the top line and grow the number of stores, grow the company. In the tougher environments, the longer it stays tough, more acquisitions and the faster growth we're going to have. We will have some comp challenges there, but at some point the consumer has to turnaround, it’s going to flip back.
Scott Stember – Sidoti & Co.: Gotcha. And referring to the price increase on tiers that you alluded to the last couple, could you just tell us what the combined value of that will be as we start turning positive in the fourth quarter?
John Van Heel: Yes, I think, I said that we would – on the same mix, and the same volume of tires, we would expect the tire comp in Q4 to be plus two, when you compare what we did last year with where we were in September.
Scott Stember – Sidoti & Co.: That’s right. I'm sorry about that.
John Van Heel: Not a problem.
Scott Stember – Sidoti & Co.: Just, yes, last question on tariffs, I know this is looking to your crystal ball what is and the actual amount of the tariff, not far from decided yet. Is there any tariff out there supposing it greater than 35% where there actually could be a negative impact that you would foresee on the overall tire market, meaning, the price is too prohibitive for people to – it has a negative impact on units. Is there anything else there that you are seeing, or is it safe to assume probably in this 35% range once again?
John Van Heel: I did – the reason that I don’t – please don’t read anything into me using 35%. What I will – that was the only region I thought that was helpful percentage to you, because that’s what happened last time. So I'm not trying to predict that in anyway. What I do know is, so whether it goes higher, I know, we're going to be doing better and we're better placed to deal with anything that hurts everybody sort of in the same direction. We're going to do better. We're even doing better than we did last time the tariff came on. Last time the tariff came on, we didn’t tell you and we were in a position to tell you that our costs would only be upside to 10%, they went up much more than that. And so even our own company, we brought it forward, we're in a stronger position, and I know that we are in a much stronger position than most of the guys out there. Sorry for the general answer, but there is a lot of strength in being able to answer generally there, because I don’t know what the tariff is going to be, I know, we are going to continue to extend our competitive advantages and continue to deliver growth through acquisitions and improved profitability, not matter what the operating environment is.
Scott Stember – Sidoti & Co.: Gotcha. Thanks so much. That’s all I have.
John Van Heel: Sure, thanks.
Operator: And we'll go next to Mike Montani at ISI Group.
Michael Montani – International Strategy & Investment Group LLC: Hey, guys, thanks for taking the question. First just wanted to ask housekeeping question, can you just share the next that you have this quarter by line of category?
John Van Heel: Yes. Brakes was 17%, tires was 42%, maintenance was 28%, exhaust was 4% and steering was 10% (inaudible).
Michael Montani – International Strategy & Investment Group LLC: Okay. And then from a ticket standpoint in tires, you mentioned I think 1.5% decline in units and then about 4% down in comp. So the 2.5%, can you just break-out what was next there versus pricing?
John Van Heel: It was all related to the import tires. So it’s all encompassing that – in that shift.
Michael Montani – International Strategy & Investment Group LLC: Okay. And when you think ahead, I mean, it’s still unknown obviously for sure, if there will be a tariff and then how much it would be. But as you sit here today, is there any price increases planned in the next, say, three to six months that you can share, I mean, the July 1, I think, it was 3% to 5%, at least, on a private label side. So anything there either in tires or service that you can do proactively to get ahead of it?
John Van Heel: We already implemented a service category, price increase of little over 1% later in the quarter – in the second quarter, so that will impact. And we continue to monitor pricing on the tire side, we are backing off of the pricing that we had at the end of the second quarter. And so that will continue to help the sales in gross profit dollars for tire. What I can say is that, we will maintain our stands in the market. We do not mean to be the lowest guys out there, but we need to be within that – within a reasonable range of competitors. And that’s something that we monitor constantly.
Michael Montani – International Strategy & Investment Group LLC: And can you just remind us last time in 2009 when we had the tariff, what did you see from the branded guys, I mean, is it fair to assume that, they want to sit by and they would also like to get low single-digit plus third pricing, or what did you see in the past and how you are thinking about that?
John Van Heel: Yes, I think they welcome the opportunity to grab some margin there. Again, from my perspective, I can't understand why there is a tariff needed, and there is an awful lot of silence from those guys in my view. And I guess, I – from a certain point I can understand that when someone hands you a margin gain, you’re tempted to take it. What would I know is, that we have a significantly growing volume, and we are going to continue to seek the right costs for the volume that we have.
Michael Montani – International Strategy & Investment Group LLC: Great. And then lastly….
John Van Heel: Yes, I mean, when you see somebody else there that’s looking good, we gain some market share at this point. But one of the challenge that I made about the tariff is, if all tire pricing goes up and consumer incomes are relatively flat, the consumer is not going to step up. They still need tires. They are going to keep their cars, they are going to continue to drive their cars, we know that’s going to happen. What they are going to look for is more value, and I think, the higher that branded pricing goes up, the more attracted the consumers, the value price tire is higher, and I'm very happy with the gains we made in our sourcing in the quality of those tires in our assortment. I think that will help us.
Michael Montani – International Strategy & Investment Group LLC: Just to finish up that line of thought, I mean, in terms of unity elasticity, I mean, can you just give us any feel of historically, it seems like 3% to 5% price increase has relatively low impact on units, this quarter aside for a minute. But if you think back in the past, where is the point where you start to see some kind of a situation where the consumer may need the tire, but they just ask to deferral little extras at 10% or 20% or can you just help us think short?
Robert Gross: Yes, I would say, this is Rob. If you go back to the last tariff, we ran plus five tire comps for the first two years, units were negatively impacted in the third year of the tariff. I would caution you though that the big difference is the deferral cycle at this juncture has never been longer, where you could only put off your tires going into winner on the yields of finally a harsh winter so long.
Michael Montani – International Strategy & Investment Group LLC: Okay. Thanks, guys. Good luck.
John Van Heel: Thank you.
Operator: And that is all the time we have for questions today. Mr. Van Heel, I would like to turn the call back over to you for any additional remarks, sir.
John Van Heel: Thank you. Thank you all for your time this morning. While we are disappointed with our recent sales trends, we are actively managing our business to drive top line growth and earnings and look forward to having better numbers to discuss with you in January. In this operating environment, we're taking advantages – advantage of the natural hedges in our business model and competitive advantages to strengthen in relative to long-term. We appreciate your continued support and the efforts of our employees that work hard to take care of our customers every day. Thanks, again, and have a great day.
Operator: Ladies and gentlemen, once again that does conclude today’s conference, and I would like to again thank everyone for joining us.